Operator: Good morning and welcome to the TransUnion First Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Aaron Hoffman, Vice President of Investor Relations. Please go ahead.
Aaron Hoffman: Good morning everyone, and thank you for joining us today. I hope that all of you are safe and healthy. On the call today, we have Chris Cartwright, President and Chief Executive Officer; and Todd Cello, Executive Vice President and Chief Financial Officer. We've posted our earnings release and slides to accompany this call on the TransUnion Investor Relations website. Our earnings release includes schedules, which contain more detailed information about revenue, operating expenses and other items, including certain non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to their most directly comparable GAAP measures are also included in these schedules. Today's call will be recorded and a replay will be available on our website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release, in the comments made during this conference call and in our most recent Form 10-K, Forms 10-Q and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statement. With that, let me now turn it over to Chris.
Chris Cartwright: Thanks, Aaron. I want to welcome all of you to our call and extend our most sincere hope that you and your loved ones are healthy and safe. Nothing is more important. From the earliest days of the COVID pandemic, our primary focus has been the health and safety of our associates, our customers, and the wider communities in which we operate. In each of the markets we serve, we seamlessly moved to working from home, allowing us to protect our associates in the broader population while continuing to serve businesses and consumers. We appreciate the work of legislators and regulators around the world for taking decisive, significant actions to support consumers, businesses and the economies in these unprecedented times. We especially appreciate and respect the heroic efforts of healthcare professionals, first responders, and other essential workers on the frontlines combating COVID-19 and supporting their communities around the world. Let's begin this morning with an overview of how our first quarter unfolded. From January through the middle of March, TransUnion track well ahead of its prior volumes and meaningfully ahead of the revenue guidance provided in February. We saw strength in the financial services, insurance and public sector verticals in the U.S. as well as robust results in India, Canada and the UK. In mid-March, most of the countries in which we operate implemented shelter-in-place policies in order to slow the spread of coronavirus while absolutely necessary to protect public health. This approach caused a dramatic reduction in economic activity, curtailed consumer lending, and trigged job losses unprecedented in their speed and scale. The rapid increase in unemployment in the U.S. and many other markets has introduced uncertainty into consumer lending well beyond what was experienced in the great recession of 2008 and 2009. Many lenders have pivoted from client acquisition and overall growth strategies to risk management across their existing portfolios and assisting consumers through temporary forbearance arrangements. Despite the sea change in economic activity that began in the second half March, the strength of the first two and a half months of the first quarter resulted in revenue and adjusted EPS for TransUnion above the high-end of our guidance and adjusted EBITDA in the middle of the range. That said, the sharp downturn in transaction volumes experienced in mid-March has continued through April to-date and presents materially different business conditions across our portfolio than we expected in 2020. Given this, we're not able to maintain our previous financial guidance for 2020 or provide new full year guidance. Instead, we will focus today on the second quarter and the volume trends we are currently experiencing in key verticals and markets around the world as well as our approach for managing TransUnion through what we expect will be a prolonged and significant downturn before resuming TransUnion's previous trends for strong organic revenue growth, EBITDA growth and margin expansion. While the nature of this economic downturn is very different than what we experienced over 10 years ago and TransUnion is a very different company. I believe that, the continuity of our management with demonstrated crisis leadership in this industry will allow us to successfully navigate this challenging time. We intend to balance expense actions as required with ongoing investments in innovation and our technology operations and business portfolio. We are implementing across our markets globally a consistent playbook to help clients manage through this downturn. We also expect to maintain our program to accelerate our technology evolution, albeit at a pace calibrated due to current uncertain environment and our financial forecast. This investment is important to maintain our technological advantage and to support a return to the strong growth and relative outperformance we've enjoyed these last six years. Despite the near-term impacts of this COVID-19 driven economic crisis, TransUnion's business model and product and portfolio strength remain intact. I'll discuss the current volume trends across our primary verticals and markets and our quick transition to support the changed needs of our clients and consumers in this downturn. Although current market conditions present us from providing our usual financial guidance, the following slides illustrate the magnitude of the impact on our transaction volumes resulting shelter-in-place policies in the global economic reset. My commentary and any forward-looking statements must be cautious, measured and taken as directional, given the recency of the downturn and resulting uncertainty across our markets. Once I covered the current market dynamics, I'll hand over to Todd to discuss our detailed first quarter results, balance sheet strength and several financial scenarios for the second quarter, based on the trends I will describe. Let's first review the overall transaction volumes year-to-date for us financial services, our largest vertical market. As you can see, performance was strong relative to 2019 through the middle of March when shelter-in-place guidelines made their impact. We continue to penetrate the market with our broad and leading data solutions and lending volumes remained healthy. Since then, we suffered a considerable downturn against first quarter trends and prior year results. Over the two weeks prior to this call, volumes have stabilized, perhaps as lenders adjust for working from home and look to support their clients beyond implementing the initial round of forbearance arrangements. Now let's review the components of U.S. Financial Services in detail. Beginning with mortgage, refinancing activity was very strong throughout the first quarter on the strength of the low interest rates and further accelerated as the fed lowered rates in anticipation of a virus-led slowdown. While the surge has abated somewhat, refinancing demand exceeds lender's underwriting capacity, especially in this work-from-home environment and is above the last year as volumes. Strong demand for refinancing has kept mortgage rates slightly higher than they might otherwise be, and we expect these conditions to continue in the coming months. For monitoring the potential negative impact of increasing unemployment and payment deferral programs, which could lead to a smaller pool of consumers eligible for refinancing. And despite the overall growth of mortgage activity, new purchase mortgage activity has nearly halted due to quarantine provisions which prevent consumers from visiting properties for sale. We expect this trend to continue until the lockdowns are lifted and consumers are willing to socially interact. This could create pent up demand for home buying depending on broader economic conditions and create future upside opportunity. Similar to new mortgage activity, auto financing has fallen off as dealerships are closed in about half of the United States or only operating online and consumers postponed vehicle purchases. As this chart shows, in recent weeks, we've seen these trends improve as dealers have rapidly accelerated the move to online selling and lending-based initiatives. Vehicle lease expirations and general vehicle replacement needs also create continued minimum demand levels. Based on our experience in the great recession, we expect a recovering demand once consumers are able to return to dealerships and other normal activity resumed. Credit card lending also slowed considerably in March, but appears to have stabilized in recent weeks. The decline in card volume results from issuers reducing new client acquisition to focus on serving the needs of existing customers. Some clients are reducing originations until they better understand the evolving risk or converting acquisition programs to lower cost channels like digital in order to save money on direct mail costs. I would note that TransUnion supports all card marketing channels and approaches. Clients also are expanding their card portfolio reviews given increasing consumer risk and need. Portfolio reviews and event triggers using trended and alternative data are a critical part of risk and account management efforts, and we are increasing our focus on providing these services. Finally, consumer lending has also experienced a material decline in volume, including within the FinTech space. However, not all of the FinTech segments are reacting in the same manner. Many of the traditional FinTechs are focused on their direct customer acquisition channels while limiting partner channel volume. A few of seats most lending until the crisis improves, the retail point of sale FinTechs are experiencing a significant volume boom from increased online sales. Short-term lending volumes have declined substantially while lenders wait for more clarity regarding the U.S. employment situation. However, as we saw after operation chokepoint ended, they are generally able to quickly ramp up when ramp up volume when markets expand. Overall, we expect the financial services vertical to remain at lower volume levels until shelter-in-place orders are eased, allowing consumers to return to work and other normal activities. This could take several quarters. However, there are a few mitigating factors to highlight. First, mortgage refinancing should continue to be strong with most banks experiencing backlogs, as I mentioned previously. Second, we expect fraud mitigation solutions, like IDVision with iovation to perform well in this environment. We had experienced minimal impact to our fraud business thus far. They're having very constructive conversations with a wide range of lenders. As customers rapidly migrate homebound consumers to digital channels, lenders are concerned about in experiencing substantially increased incidences of fraud for login and verification. Our U.S. financial services is the largest in marketing for our products. The story is the same in many international markets, which I will discuss shortly. Third, we expect increased account management demand to continue as lenders look to more effectively service their existing customers. This will drive continued demand for more advanced solutions, including event triggers, printed data and alternative data. Finally, most of our contracts include volume minimums, and while they tend to be fairly low, there are valuable buffer. Contracts are also priced volumetrically, such as that as volume fall in the price per transaction rises, while this doesn't fully offset the lower volume, it does help. Now turning to our healthcare vertical, which helps healthcare providers navigate the revenue cycle to help improve the patient financial experience and maximize reimbursements for uncompensated care. The frontend of the cycle represents about one third of the revenue of the vertical and includes insurance eligibility checks, identity screens and payment estimation. As providers have shifted their focus to creating capacity in the healthcare system to prepare for the surge of COVID related patients, they canceled and delayed non-critical procedures. Although COVID cases will surge in hotspot areas, the overall impact on the healthcare system is a net decline in patient volumes. This started to impact the frontend business in late March, and we expect to see that decline persist through the second quarter. The other two thirds of this vertical is the back end of the revenue cycle, where we help providers identify opportunities to recover loss reimbursement through various revenue recovery products and services. Some examples include finding missing insurance information, resolving claim denials, and identifying Medicare bad debt dispersed reimbursement opportunities. By helping providers increase their revenue, reduce uncompensated care and avoid bad debt write offs, we provide a critical source of cash flow and in some cases provide essential products and services to assist providers in maintaining financial solvency. This is particularly important now, as the reduction in elective and preventative care is severely impacting providers' profitability. And while government stimulus programs are designed to help offset some of the impact, many providers are having to layoff and furlough staff. Writers may see additional pressure depending on how long the elective patient volumes are delay and how successful the reopening process is. Our current view is that consumer sentiment around comfort and safety are mixed at best reverting resuming normal healthcare elective treatments. Given the financial stress on healthcare providers, it's not surprising that the backend of our healthcare vertical has held up well thus far and provides providers and most providers, continue to be motivated and incented to continue their focus in this area to ensure they are optimizing their billing processes and recovering the greatest amount of reimbursement possible. The potential longer-term risk however, is that, there are fewer overall patients in the coming months in healthcare system, which could result in less overall opportunity for recovery of uncompensated care. In any scenario, our solutions continue to represent a valuable and essential part of the revenue cycle, helping providers reduce risk and increase their cash flow. Our insurance vertical serves property and casualty, life and commercial insurers with marketing and underwriting solutions as well as the analytics and investigative tools for claims. Thus far and in line with our expectations, insurance has seen a less severe impact than many other parts of our business. Unlike many other industries, insurances continue to provide services to their customers and to underwrite new business regardless of the broader economic conditions, particularly in auto insurance which is the largest part of our vertical. This connectivity level is driven by expiring policies, when consumers typically renew or shop for a new policy. In either case, customers use our data and solutions, only when the consumer chooses to let their policy lapse and not replace it does the industry see volume contraction. That is clearly a risk given the rising number of unemployed Americans and idle vehicles. However, we have seen many of the market leaders assisting their policyholders during this time through rebate programs. Core underwriting activity took an initial dip in mid-March, when shopping activity declined as consumers process the changes we've all experienced. However, in the recent weeks that trend has stabilized. Customer marketing programs thus far have continued as planned likely to help consumers understand the potential financial benefits of changing to a lower cost plan. In these economic conditions, consumers shop for lower rates to reduce their expenses. Furthermore, the desire to reduce costs and improve efficiency at our insurance customers is leading to increased interest in our drivers risk solutions. This solution helps to reduce the cost of motor vehicle reports, while providing more timely insights. Our team has stayed in close contact with our more than 300 insurance customers with heightened interaction with our top tier accounts. Our customer counterparts remain accessible and willing to engage in conversation about in-motion and new opportunities. We continue to leverage our market-leading capabilities to serve our insurance customers evolving needs. Turning our discussion of the U.S. market segment, I want to touch on a few other verticals, starting with collections. While we certainly see this vertical as counter-cyclical overtime, the initial negative impact has been quite severe for three reasons. First, many collections customers were not equipped to have their collectors work from home. This resulted in an immediate decline for several weeks, while collections firms developed capabilities to enable their workforce to work remotely. Second, in many states like New York and Nevada halted all collections activities for 30 day periods, and several other creditors have instructed agencies to suspend collection of their debt. And third, as part of the federal COVID legislation, certain consumers are being provided payment holidays. While we absolutely agree with and support the second two items as they provide relief to embattled consumers, these actions do create an air pocket in our business and push out resumption of normal collections activity by a few quarters. After that delinquent cases will be placed with collectors and activity should pick up over a three to six month period. In shifting to our public sector vertical which provides a variety of data driven solutions for federal state and local governments, at this point we have seen very modest impact. Government agencies continue to operate unabated and supportive of their constituents. Employees are largely able to work from home and are still engaged in ongoing business opportunities and open to new projects. We already provide fraud mitigation and identification solutions to certain agencies and we are in active discussions with them more broadly around the trillions of dollars in dispersals announced by the federal government. We're also talking to various agencies about heightened insider threat monitoring capabilities, as that risk increases when employees are homebound and might be facing financial hardships. Specific to combating COVID-19, we're also having productive conversations about providing federal agencies with right party contact information to support contact tracing. This is the process to identify and alert people who have been in close contact with an infected individual by contacting and monitoring those with a higher potential to become infected. Public health officials can reduce the spread of the virus by keeping them from infecting others. Having highly accurate right party contact data is critical for these efforts to be successful. Through TLOxp, we are well positioned to support these efforts. Conversely, we've seen a slowdown in some programs we support at the state level, but we've identified areas of potential upside where we can further support our customers and their COVID related mitigation work. As the preponderance of our underground COVID activity is taking place at the state level, our contacts are both distracted by these events and reluctant in some cases to proceed with certain activities like homestead tax act violations that may be viewed as of minor importance relative to the broader threat of COVID. We expect these activities to increase once the crisis has passed and states search for much needed revenue. At the same time, we do an opportunity to support COVID relief efforts with our background screening solutions. It is critically important that volunteers across all fields are properly vetted before engaging in these activities, as we've seen in previous large crises like Hurricane Katrina. Tenant screening is an area where we've seen a sharp slowdown as consumers are not actively seeking to move, often resigning with their current landlord instead of taking the risk of moving into a new location. Similarly, with a sharp reversal in employment trends, we're seeing employment screening slows substantially. We expect both of these areas to present opportunities as economic conditions improve and both moving and hiring increase. Finally, in telecom, we've also seen meaningful slowdown is more than 80% of cellular retail locations are closed, resulting in far fewer new plan and device sales along with the attendant credit checks that we provide. We expect this trend persists, so it may rebound very quickly as there's likely pent up consumer demand that will need to be satisfied when the lockdowns are lifted. Now turning to Consumer Interactive, consumers continue to recognize the value of credit and identity protection, credit monitoring, and related financial education tools, like those that we offer both directly and indirectly through partners. Even as consumers were facing economic uncertainty and hardship. They're still demonstrating interest in the tools and resources that help them manage their credit health and drive informed decisions. As a result, today, we've seen only a modest negative impact to our direct subscriber base. We continue to tune our marketing efforts to maximize acquisition and retention of high quality subscribers. On the other hand, some of our indirect partners have curtailed their marketing programs, likely resulting in decline in subscribers, which is the basis of our revenue model. Positively, we've had a number of substantive discussions with potential new partners that have expressed interest in building more robust consumer facing offerings, like financial education and modeling tools for their clients who may be facing difficult personal financial situations. Across our international markets, we have seen a pronounced slowdown, as lockdowns have been implemented in varying degrees of severity in all of our geographies. We're pleased to see that across all of our major markets, though, governments and lenders are providing relief for distressed consumers, as well as certain types of businesses. Our international teams have mobilized a swift response by providing customers with actionable insights that highlight differentiated solutions that we didn't have during the 2008 and 2009 crisis. These include credit vision trending data, credit view, market leading portfolio management insights, and fraud solutions. This approach has position our business at the forefront of enabling our clients to shift from originations to portfolio and risk management. In broad terms, we've seen developed markets like Canada, the UK and Hong Kong behave more likely the U.S. with meaningful declines across each country or regions portfolio. In the UK, lending markets are under similar stress as in the US, and that has and will weigh on our results. On a positive note, we've seen strong performance in several parts of our diversified portfolio. Fraud solutions, which are about one third of our UK business, are up significantly as consumers are accessing online services from government agencies that require authentication and identification. This trend will likely continue into the second quarter that will eventually taper off as all eligible consumers gain access to these sites. Our differentiated affordability suite is proving to be attractive to customers monitoring income shock, as unemployment has soared in the UK. Also in the UK, we recently won several critical government projects that focus on the health and financial welfare of UK consumers and businesses during the COVID crisis. In Canada thus far, it's looked more like the U.S. with a weak underlying lending market that we expect to continue while lockdowns remain in place. However, our first quarter results benefited from a number of breach remediation contracts that are not based on transactional inquiry volumes and thus are largely unaffected by COVID. This benefit will also continue into the second quarter. We also benefit from portfolio diversification that includes fraud solutions, direct-to-consumer offerings and insurance and government verticals. In particular, we see the heightened interest in our direct-to-consumer solutions as our customers seek to strengthen their relationships with their customers. In emerging markets, the impact has been worse as consumers rely more on branch and other in-person channels. Across almost all of these markets, we see a pronounced lack of digitization along with more aggressive government lockdown restrictions. In these geographies, more aggressive tactics have resulted in a greater impact on our business. In India, we have a fairly diversified portfolio that includes credit reports and scores, but also analytic and decisioning tools, fraud solutions, direct-to-consumer offerings and commercial credit business. Our broader portfolio provides a buffer to the dramatic declines we've seen in lending inquiry volumes. The stark drop in activity is a result of the challenges Indian consumers have in transacting online and the severity of their lockdown restrictions. In LatAm, we serve a variety of markets, and in general we've seen consumers challenged to transact remotely, while lockdowns have largely not been as strict as in some of our other markets. Notably in Brazil, we do not operate a credit bureau but rather a data analytics business that largely serves the insurance industry and that provides a modest buffer against the declining lending activity there. The South African economy was challenged prior to COVID and is now projected to be down low to mid single digits. Lockdown actions are less severe than countries like India and the Philippines. Our business in South Africa is diverse and has a large component that serves the insurance industry. In Hong Kong where we saw the impact of COVID the earliest, has stabilized at lower revenue run rate. We're encouraged to see that leveling off as the economy is slowly reopened. Our business has benefited from an increased focus on portfolio and risk management tools, fraud mitigation solutions and should be further aided overtime by the resumption of our direct-to-consumer channel in early April. Rounding out APAC, the Philippine is facing significant headwinds, much like India with a very aggressive lockdown program that has shuttered much of the economy. As we contemplate a recovery, we expect developed markets to have a faster rebound as these governments tend to have more capability and capacity to implement stimulus to drive economic growth. In light of the current situation, our new reality is that many of our markets are likely to face extended periods of lockdown or other social distancing. I will walk you through our new downturn playbook that proactively addresses the issues our customers face through a three phased approach. This is grounded in our understanding of these markets and our experience from past crises. Phase 1 is focused on understanding and serving our customers needs in the midst of the COVID crisis through our close partnership and engagement. We've increased our customer engagements to accurately identify and segment needs that drive tangible, easy-to-implement packages to support them. Given the immediacy of the needs, the packages use mostly existing capabilities assembled to directly address the current circumstances. Examples of this include advanced portfolio management that leverages our newest data assets, drivers first solutions that reduce costs and offer broader data to insurers, e-commerce fraud mitigation tools using both iovation and IDVision and income and spending reviews in some of our global markets. In the spirit along with others in the industry, we’ve advocated for a continuation of clear and effective reporting of data so that customers and consumers remain confident in the data and are able to make well informed decisions in the future. We've also come together as an industry to uniformly increase consumers access to their credit reports at no charge from once per year to once per week during COVID crisis. Phase 2 of this program is focused on helping customers emerged from the COVID crisis, even as the timing will vary between markets and industries. In this phase, we will build new products to address specific industry and geographic needs. Some examples may include new models that incorporate post-COVID trended and alternative data attributes, integrated fraud and digital marketing solutions, and new underwriting frameworks. In both phases, we'll leverage our latest tools to support customers. For example, we can leverage our unique innovation lab to help customers work through their own specific projects using our data and our industry experts. In fact, we've already conducted virtual innovation labs with excellent customer feedback. In the past those occurred at our headquarters. These activities will all be coordinated on a global level so that we best leverage new practices and approaches throughout the Company. In Phase 3, we will address whatever new normal emerges from this crisis and we will ensure that our long-term planning reflects the new challenges and opportunities. While we believe that our long-term strategy is more relevant than ever, we will revisit it based on what we learn from Phases 1 and 2 of this downturn playbook. Our comprehensive approach addresses both the near term reality that we and our customers face while keeping TransUnion well positioned for future success. The next element of our downturn playbook involves managing our cost structure to adapt to both changing macro landscape and the impact it's having on our business. Like most companies, our traveling and entertainment expenses will drop substantially as we shelter-in-place. We're also maintaining our head count, freezing hiring with the exception of certain key strategic programs until we have better visibility into the shape and speed of the likely recovery. We've addressed some other discretionary costs by canceling internal meetings and prioritizing our capital spending. We have some additional opportunities to address costs and Todd will talk to you about these in a moment. We have quickly imprudently taken appropriate cost actions that are helping mitigate the impact on our margin even as revenues expected to decline sharply in the second quarter. Just to start down term playbook addresses our cost structure, we've also prioritized our investments to focus on innovation, operational efficiencies, and our celebrated technology investment, which we renamed project rise and we discussed in great detail during our last earnings call. We will continue to invest appropriately under the circumstances to support our customers as they deal with unprecedented market challenges while also taking steps to bolster our long-term growth prospects. The takeaway from these comments is that we are proactively working with customers and consumers to help them manage through the current environment while we manage our costs and prioritize our investments. This gives us confidence that we will successfully navigate the current situation, and the Company will be well positioned when markets rebound. Our strategy and portfolio positioning remain intact, allowing us to continue to deliver industry leading long-term top and bottom line growth. More specifically, we will still benefit from being innovators with attractive market positions across geographies and strategic verticals. We will still leverage our enterprise growth playbook to engage with clients to offer value added solutions. We will still possess the same powerful and proprietary and third-party data assets and we will still operate, and industry leading technology platform that is only going to get stronger through project rise. TransUnion culture will remain the same, focused on customers with individual accountability and performance, and we will continue to practice sound financial management and be good stewards of shareholder capital. That point marks a good transition for me to turn the call over to Todd, who will talk more about our strong balance sheet and cash flow position, our first quarter performance and our scenario based view of the second quarter. Over to you, Todd.
Todd Cello: Thanks, Chris. First, I want to extend my best wishes to all of our associates, customers, consumers, investors and analysts. I hope you and your families are safe and healthy. Now to build off Chris' comments about the long-term health of our business, I want to start with and stress that we have a strong balance sheet and are taking all appropriate actions to ensure that remains the case going forward. We finished the quarter with $306 million of cash on the balance sheet. During the first quarter, we had a number of annual cash obligations, like bonus payouts, debt service and cash related to the vesting of restricted shares that limited our ability to conserve cash. However, for the foreseeable future, and until we better determine the depth and duration of the COVID crisis, we will focus on building cash on the balance sheet. As many of you know, in recent years, we've actively managed our portfolio of debt, leaving us in a very good position today. First, over the past roughly 16 months, we prepaid $400 million of debt. Second, last fall, we successfully refinanced our entire portfolio of debt resulting in lower interest expense and meaningfully extended terms with no scheduled maturities until December 2024. Third, in February, we have to execute in the new hedge instrument to replace the one that will expire in June of this year, thereby locking in very favorable interest rates for the next five years. And finally, we continue to have access to a $300 million undrawn revolver and we'll use that facility should we need it. In terms of debt covenants, only our revolver and term loan A, which represent $1.1 billion of our $3.6 billion of debt have restrictions related to our leverage ratio. That covenant stipulates that the ratio of net debt to adjusted EBITDA must not exceed 5.5 times on a trailing 12 month basis. Our leverage ratio was 3.1 times at the end of the first quarter. We test our ratio at least quarterly and we currently have no concerns that we would breach our leverage covenant. Turning to our priorities for cash, they are to run the business without interruption in all geographies, service our debt, continue to invest as Chris discussed, pay our dividend and retain excess cash. There are a few considerations regarding our capital allocation. First, we don't expect to prepay that or buyback shares in the current environment. Second, while we are comfortable paying this dividend at this time, if circumstances deteriorate meaningfully, beyond what we currently are able to forecast, then we would consider recommending that our Board temporarily reduce or suspending, but I want to be transparent about our thinking. Thinking together, we have a strong balance sheet and have proactively positioned the Company to weather these challenging times. Going forward, we are committed to taking all prudent actions to preserve our liquidity. I'll now walk you through our consolidated results, and for the sake of simplicity, all of the comparisons I discuss today will be against the first quarter of 2019 unless noted otherwise, and all revenue discussions relate to adjusted revenue. Starting with the income statement. First quarter consolidated revenue increased 10% on a reported basis and 11% in constant currency. Revenue from acquisitions contributed slightly about less than half a point of growth in the quarter related to the May 2019 acquisition of TruSignal, so organic growth in constant currency would have grown 11%. Adjusted EBITDA increased 10% on a reported basis and 11% in constant currency. Our adjusted EBITDA margin was 38.3%, flat with the year ago quarter. First quarter adjusted diluted EPS grew 22%, with a 23.6% adjusted tax rate. Now looking at segment financial performance, U.S. market's revenue grew 14%. The impact of the TruSignal acquisition had a nominal impact. Our financial services vertical revenue grew 22% on a reported and organic basis. As Chris mentioned, we experienced very strong overall trends in this vertical through mid March, particularly related to mortgage refinancing activity. In fact, without the benefit of unusually strong mortgage volumes, financial services revenue would have still grown approximately 13% to 14%. Emerging verticals combined grew 6% and 5% on an organic basis, and were tracking even better through mid-March. Insurance, healthcare and public sector were particularly strong, a number of the sub-segments of our diversified markets businesses, notably collections, telco, tenant and employment screening were weaker as COVID affected these end markets rapidly and severely beginning in mid March. Adjusted EBITDA for U.S. margins increased 21% on both the reported and organic basis. For my comments about international, all comparisons will be in constant currency. For the total segment, revenue grew 9%. As we mentioned at our February call, we divested at small business in the UK called Recipero. Excluding that divestiture, international revenue would have grown 10%. Regional results were negatively impacted by COVID. Nonetheless, we still saw mid teens growth in several markets. In Canada, we benefited from a number of one time breach remediation opportunities with our customers as Chris previously mentioned. In India, we had anticipated lower than normal revenue growth, as we were comparing against 51% growth in the year ago first quarter, and we were still close to our expectations of mid teens growth. UK grew 7% and 10% excluding the impact of divesting called Recipero. We saw growth in all of their markets including Asia Pacific which includes Hong Kong where the impact of COVID was experienced the earliest and longest during the quarter. Adjusted EBITDA for international declined 4% as a result of weaker than expected revenue due to COVID driven lockdowns and the comparison to a reversal of reserves in the year ago quarter. Consumer active revenue increased 3% driven by growth in both the indirect and direct channels. Adjusted EBITDA for consumer active was down 5%, as we increased marketing behind the direct channel during the quarter and continue to see good returns on that investment. As Chris mentioned earlier, given considerable uncertainty about the impact of COVID across all our geographic and vertical markets, at this time it is prudent to suspend full year 2020 guidance related to revenue, EBITDA and diluted EPS. Overtime, we will revisit this decision and at the appropriate time with sufficient visibility reinstate full year of guidance. Given this decision, I wanted to comment on the three year outlook that we provided in March of 2019, at that time, we indicated that we would grow revenue on average 7% per year from 2019 to 2021. That outlook contemplated a normal U.S centered recession, but not a global pandemic with truly unique characteristics. And such, the view that we could grow and hold margins through that sort of normal recession southern hold up in the current environment. Actual revenue growth in 2019, the first year of that outlook was stronger than the average up 9%, and now it seems highly probable that 2020 is going to be below the average, and it is surely too soon to make a call on 2021 as we have so little clarity about the potential depth and duration of the COVID crisis. We will provide an update in the future as we gain additional clarity. Now, I do want to offer some directional thoughts about some of our annual guidance items. First, we expect our tax rate to be lower than the previous guidance of 25.5%, as a result of lower forecasted foreign earnings and lower state taxes due to lower forecasted domestic earnings. Second, total depreciation and amortization is expected to be lower than the previous guidance of $375 million. Excluding the step up and subsequent M&A portion, depreciation and amortization should be lower than the $180 million we provided last quarter. The change is primarily due to the impact of foreign exchange rates and a projected reduction in overall capital expenditures. Third, net interest expense should be lower compared to our previous guidance of $140 million as a result of a reduction of the forward LIBOR curve. And finally, while capital expenditures may still be around 8% of revenue in 2020, this will be on a lower base and not the lower absolute dollar spend than we previously expected. Turning to the second quarter of 2020, like many companies, the lack of visibility and certainty resulting from COVID means that we were unable to provide the more specific guidance we normally do. Instead, we believe that providing you with the range of potential outcomes, along with the scenarios around each is far more instructive and valuable at this time. And to state the obvious, scenarios like these are not predictions about what is likely to happen rather they are intended to help you frame possible outcomes. On our call today, we provided additional detailed trend information to illustrate how COVID has impacted TransUnion. We expect to continue to offer these details during the pandemic to help investors. We've spent considerable time with every business over the past month and a half as the COVID situation is unfolding. These conversations are focused on identifying quantifying, and mitigating risks, while also addressing cost containment actions, investment prioritization, and marketplace plans to support our customers and consumers. We believe that the scenarios represent is our best possible view based on the information trend analysis and marketplace intelligence that we have available right now. The base case is a continuation of the trend Chris previously outlined. We provided you with daily volumes for our financial services and markets, additional comments on other major verticals and all our geographic markets. These serve as a starting point for the scenarios that I will take you through. If these terms hold, we believe that adjusted revenue would decline 13% to 18%. There is about one point of FX headwind that we're facing this quarter. At the segment level, we would expect the U.S. markets would be down mid teens percent, international declined below 20%, and Consumer Interactive would be down mid single digits. Adjusted EBITDA would fall 33%to 38% also with one point of FX headwinds. Adjusted diluted EPS would likely decline more than adjusted EBITDA due to the adjusted EBIT of dollar decline, having a larger percentage impact on adjusted diluted EPS, which is only partially offset by lower interest expense and tax rate. I want to spend a minute here building on Chris's comments about cost mitigation. When we think about addressable or discretionary costs, we think more broadly than just fixed versus variable. We think about four categories. The first two, variable product costs and non-variable product costs relate to changes up or down in our revenue base and track very closely to that. The third is depreciation and amortization, which we have little ability to affect in the short term. The fourth are fixed costs and we have addressed certain portions of this group as Chris discussed with a plan to address certain other areas further, if necessary. I don't want to get into specifics at this point but we'll provide you details if we need to travel that path. Wrapping up the base case scenario, we wouldn't expect any liquidity issues and cash on the balance sheet would remain relatively stable. Leverage, which is calculated as net debt over trailing 12 month adjusted EBITDA, would rise slightly but be at or under a three and a half times, and very far from the 5.5 times covenant trigger I mentioned earlier. Furthermore, in this scenario, we would currently expect revenue and adjusted EBITDA declines to moderate through the back half of the year, assuming the recovery unfolds in a somewhat linear fashion. The upside case is formulated often earlier albeit at slow start to the recovery in May or June. If that were the scenario, we wouldn't have anticipate revenue falling less than 10% and adjusted EBITDA the declining less than 25%. And again, adjusted diluted EPS would likely be worse than adjusted EBITDA. Cash on the balance sheet would actually build slightly and leverage would increase only modestly. The downside case contemplates a meaningful deterioration in the trends that we've articulated, that would result in adjusted revenue declining more than 20% and adjusted EBITDA following more than 45% with the adjusted diluted EPS again down by a larger percentage. In this case, we would use cash on the balance sheet and would have additional discretionary actions available if necessary. So to wrap up, despite the challenges from COVID that we faced late in the quarter, we delivered good results that reflect the strong momentum we achieved prior to social distancing requirements. We have now turned our attention to managing through unprecedented times and believe the strength of our business and our balance sheet will allow us to weather this situation. I'll now turn the call back to Chris for some final comments.
Chris Cartwright: Okay. Thanks, Todd. So to conclude this morning, we've laid out a comprehensive, transparent and realistic view of our business and of the markets that we serve. We've outlined our plans to proactively address the situation with our cost structure and in the investments that we're making for the near and long-term. While we clearly will face some short-term challenges, our portfolio and strategy remain intact and will be as powerful and differentiated after the COVID pandemic as they were before. Most importantly, we're going to continue to prioritize the health and wellbeing of all of our associates and of the broader communities in which we operate in globally. And with that, I'll turn it back to Aaron. Thank you.
Aaron Hoffman: Thanks Chris, and that concludes our prepared remarks. For the Q&A, we ask that you each ask only one question, so that we can include more participants and for now we will be glad to take those questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Manav Patnaik from Barclays Bank. Please go ahead.
Manav Patnaik: My question was more just around the tech investment program, the innovation product, new product spend, just in terms of how you think the different scenarios impact that, and how you shift into maybe a different focus versus what was said before?
Chris Cartwright: This is Chris, Manav. Good morning. I'll handle that question first but just a quick caveat. You know, obviously Todd and I and Erin are doing this from home, so if there's any pause or awkwardness in the handling of the questions, it's just due to that fact. As I mentioned, we're going to continue to invest in the strategically critical initiatives that we had talked about in the last earnings call and in various investor relations communications we've done. Over the last quarter of last year, the acceleration of our tech investments, our evolution, if you will, is foremost among those. It is part an acceleration of the migration of certain apps to the cloud. But as I also mentioned, it was the implementation of streamline technology architecture, across our core product portfolio as well as just a reduction of some of the sprawl that has accumulated through the years and around the world. As our revenues decline starting in mid-March, we looked at the expense base, we prioritized our capital spending, and we maintained a good level of spend in this area because we feel like we can execute very effectively in a work from home environment. And of course it's important for our medium-term and long-term success. It'll do a lot for positive development agility. It'll also reduce our cost structure. So in this base case that we've outlined in our operating to expect us to continue to invest in this program, we may not do it as aggressively, at least in the initial month or so until we get more confidence around the level of revenues that we're going to have. And of course, if we saw a material worsening in the environment, we would have to look at this area and other areas like personnel overall to determine how to appropriately size those investments. But we want to maintain the program, we think it's important and we also continue to invest in new innovation, I can think of half a dozen major product categories that have good plans being executed to strengthen our positions. And again, I think we can execute effectively in these areas, in this work from home environment. In fact, I have to say overall, our workforce has adapted very quickly to working from home. I am really comfortable in the level of service that we're delivering our clients and folks are engaged and productive.
Operator: The next question comes from Gary Bisbee of Bank of America. Please go ahead.
Gary Bisbee: Hey guys. Good morning. Hope you're all well. Chris, you mentioned a couple of times the concept of extended recovery number of your markets. Acknowledging that there's a lot of uncertainty remaining in the duration of the impact here, can you just help us think through maybe what within the portfolio you think could recover more quickly or where you might see that concept of extended recovery to be the most acute?
Chris Cartwright: Okay, fair enough. Let me start at an overall level, we've had a lot of detail around our transactional volume performance, particularly in the U.S. markets. I believe that in the international markets, which are largely in countries with emerging economies, those countries went into deep shelter in place policies, probably a week or two weeks after the U.S. and so the downturn there has been a bit more pronounced. And I think that will probably be another couple of weeks or so before and again, I hope we see the type of stabilization and even recovery that we're seeing in the U.S. There are also some challenges and some of those markets where there's not the same degree of internet connectivity or digital penetration in general in consumer lending and originations and all of that, so it could be a little bit curtailed until a lockout ease and physical movement is again possible. But I do know really across all the countries in our portfolio, we see adaptations to the current circumstances, which I think bode well for volumes in the future. In terms of particular categories that would rebound and I think auto lending will rebound because folks will be able to visit dealers, even if they have to implement social distancing approaches. But right now, that's been a considerable lockdown, new home purchases could benefit as well. I think consumer lending, which has endured I think the most pronounced impact of the different lending subcategories. Once those lenders get a sense of the performance of their own portfolio and in the current employment situation, and the impact that they stimulus from the federal government is having, that's a category that could also bounce back. I think collections activity in the coming quarters could increase substantially. I like the way we're positioned in that space from a product and a capabilities perspective, but as I mentioned in my comments. collectors weren't geared up to work from home and there's a collection hiatus in place, but I do think that in the coming quarters lenders will have to collect on delinquencies and you'll see quite a resurgence in those activities.
Operator: Excuse me. This is the conference operator. I apologize for the technical problem there. If you'd like, I can go to the next question from Toni Kaplan, if you wish.
Aaron Hoffman: Please.
Operator: Thank you. Toni Kaplan. Please go ahead.
Toni Kaplan: Congrats on the strong quarter and glad to hear that you're all safe. My questions regarding the guidance, I can understand wanting to be conservative, especially in the middle of such an uncertain time. And I know others have framed this in a similar way, but why is it your base case at the current trends remained for the full quarter in the second quarter, if states and countries start to open up? Just maybe if possible, if you could frame the likelihood around the different cases that you've provided here. Thank you.
Chris Cartwright: I'm going to pass it over to Todd, but who I think can take us through the detail in our thinking and you are looking for some kind of probability I think of A, B or C. So with that, let me pass it over to Todd.
Todd Cello: Hey, good morning, Toni, and thank you for your question in regards to the outlook scenarios that we are providing. As you know, the base case is showing, we are taking the current trends that we are seeing in our U.S. markets business as well as international and Consumer Interactive and running those trends out. But as you can imagine, those trends are different in every one of the end markets that we operate. And so, in particular you can see that within the online volumes that we've provided for our U.S. markets, financial services business, you can see that just the disparity between those in those groups. And you can also see that when you look at the commentary that we've provided for our international business on as wall to where you see, relative downturns in places, developed markets like Canada and the UK. So maybe things are a little bit more pronounced on emerging geographies like India and Latin America. So I think the important takeaway in the base case is that we are assuming, we're not necessarily assuming linear for everybody, we do have different assumptions in that base case, as to when those markets will see some type of recovery. So, internally, we are going through a very detailed bottom drop forecasting process that we put in place in mid-March. So each of the segment presidents and their respect to finance teams are presenting to me and Chris on a weekly basis, what those trends are. So, we have a good sense as to where things are going to ebb and flow. And I think you'll Chris already really kind of answered just like what are markets that we would expect to come back, sooner rather than later. So that's the base case and that's what we see today. I mean, we give you the day that through April the 24th as well in the U.S market. So, we tried to extend on that as far as we could and we're being optimistic that these trends are, will continue. However, we're not certain just like anybody else, what the implication of that is going to be. So that's why we thought it would be a prudent approach to provide the scenarios on that. So if you believe that the outlook that we're providing in our base case is not optimistic enough, that is why we've provided you with an upside case. We're not necessarily there at that point right now. And to be balanced, we put in a downside scenario as well to, just in the event that what we are experiencing right now. There is further deterioration or maybe there is second surge of cases, we just don’t know and that’s why we’ve taken approach that have. So, let me pass it back to Chris for some other comments on that.
Chris Cartwright: Yes, I just realized from Todd’s comment there that I forgot to answer part of an earlier question, which is our perspective on the nature of a recovery, there's talk of V shape, L shape, U shape et cetera. I think we feel like it's going to look something like a Nike swoosh, where the descent was pretty rapid and then there'll be a slow and measured rate of improvement over time, but with some ups and downs along that trend line. And that's because, this is an economic crisis that's brought about by health crisis. And we're still having to manage within the constraints of our ability, to deal with the health crisis, and it's not as if we're all going to be able to just resume our normal social and economic behavior that had produced the growth that we were enjoying. It's going to take some time, it's going to have to be measured, and we're going to have to really get some disease transmission and treatment and all under control before we can get back to the way things were.
Toni Kaplan: Would you be willing to give probabilities on the scenarios or no?
Todd Cello: Well, I think we've given you our best thinking on this, and I feel pretty good that this is very comprehensive as to how we're thinking about it internally and we're literally sharing with you, what we're thinking right now. So, I mean, as I said, I think we'd be remiss to say our entire probability based on any of these scenarios. Again, that's why we get into the trends but we bid to serve as a foundation to anchor losses.
Operator: The next question comes from Jeff Meuler of Baird. Please go ahead.
Jeff Meuler: Yes, thank you for taking the question. Just I guess a clarifying question on how you're characterizing kind of the stabilization or recovering relative to the trend data that you gave us. And, I guess in my view is from looking at the graphs or the checks that you gave us is that, the year-over-year declines generally look like they're narrowing or improving across most of the U.S. financial markets. Products, you're talking about stabilization. So, I guess, just are you basically saying that there was this period of extreme freeze, a stay at home was implemented and then since then, they've been stable in recent weeks, just trying to understand why you're seeing stabilization and year-over-year to be getting better? And then this specific number that you gave us in those charts. Is that April month to-date year-over-year trend? Or is that the April 24th specific daily volumes? Thanks.
Chris Cartwright: Okay, so we'll tag team on this question. But just to clarify our language, just because we say stabilization doesn't mean flat lined, necessarily, it probably just means more. It's not declining and it's either flat improving. If you look at the trend over the past 10 plus business days, we see flat to improving in all of those financial services markets, which is encouraging and we're looking at our volume trends every day from markets around the world. And so much of the earlier question while we're not getting probabilities, we do feel good about our base case and that is what we are managing towards currently, but we are prepared to pivot prepared to pivot and manage each of the cases that we outlined. As for the April question, let me hand it to Todd
Todd Cello: Good question, and they sort of clarification on that. So, what the graphs are depicting and the volume decline is a comparison of April 24 of 2022, the prior year. So, it's not meant to be your summary of the trend or whatever it is. It's just the point in time where we were at the end of last week, and where volumes were on that.
Operator: The next question comes from Andrew Steinerman of JP Morgan. Please go ahead.
Andrew Steinerman: Todd, could you just tell us in the base case scenario when the Company says continuation of current trends? Are you using that last week number year-over-year like you just referred to? Or are you assuming all of April's trends on average continue year-over-year in May and June?
Todd Cello: Hey, Andrew, good morning and thanks for the question. Yes, that's a good clarifying point to me too. So, we are when we extrapolate on trends forward, we are looking at the most recent data. We're not necessarily going back and looking at an average of the month of April as an example, but we are looking at maybe the most recent week and we're not as granular as saying, Oh, well, Friday was this, Friday the 24th is this. So, then that must mean every day is going to be like that going forward. There are some sensitivities on that we put into it. So, by and large what we're turning forward for May and June assumptions are taking the current volumes that we've been seeing over the last week.
Operator: Your next question comes from Andrew Jeffrey of SunTrust. Please go ahead.
Andrew Jeffrey: Hey, good morning gentlemen. I appreciate you taking the question. Trended data have obviously been a pretty important driver for TransUnion over the last few years. And Todd -- sorry, Chris, you've made some interesting comments about demand for trended data. Can you opine a in a little bit on perhaps -- and I'm thinking even in emerging markets, how trended data might help risk management competencies to your customers? Is that something as we come out of this that could be a structural demand driver?
Chris Cartwright: Yes. I think so. I mean, look, one of the, we've talked a lot about trended data through the years and on these calls, and we've succeeded in pushing it to many of the markets in which we operate around the world. And we think it's going to be especially helpful for understanding the risk of existing portfolios, and even, new client acquisition in this more limited environment. One of the data attributes, that's going to be especially helpful for lenders is, what we call aggregate excess payments. And overtime what we can see is, the amount of debt service in excess of the minimum required that consumers are making, and I think that speaks to several factors, that speaks to revenue or income and expenses getting to some type of a consumer free cash flow measure, if you will. And then it speaks to their behavior, their propensity to service, their data take care of it, which is more of a behavioral characteristic, and I think lenders will look at that when doing their portfolio reviews. We're also coming up with new attributes that we've already rolled out that are helping with more current signal. So, we're looking at how consumer trade lines are being reported in this environment, and we're able to characterize of those that has forbearance or other hardship relationships and disaster recovery codes, and that's an incremental current signal that all will go and help toward the risk assessment of the current portfolio. On top of that, there's some signal in our alternative data sets where prior mainstream consumers are now dipping into the payday loan market, that could be an indication that. And also any negative demand deposit activity. We're fortunate in that we're able to see bounce checks in any other negative activity on demand deposit accounts nationwide in the U.S. In some of our other markets, we actually get current income information from the major banks and we have pioneered that product in the UK, it's part of a debt leverage ratio that we have put out in the market for many years now that helped banks determine which consumers will likely need some assistance in meeting their obligations.
Operator: The next question comes from Seth Weber of RBC. Please go ahead.
Seth Weber: Hey, good morning and thanks for all the information. I'm just curious about -- you have two markets, you have Hong Kong and the U.S. that are kind of starting to better stabilize. Again, can you just talk to any parallels that you've seen between, I guess Hong Kong was first and relative to the U.S.? And any parallels or differences in just how those markets have stabilized and started to recover? Thanks.
Chris Cartwright: Yes, sure. I think I'll back clean up on this one because you know, before he was the CFO of all TransUnion, Todd was CFO of International, and he had great detail on these markets. So, Todd why don’t you fill them on the Hong Kong experience.
Todd Cello: Okay. Seth, thanks for the question and happy to get into a little bit of the details. I guess what comes to mind when you asked that question about parallels to Hong Kong in the U.S., I guess first thing I think of is under very different businesses. So our business in Hong Kong is predominantly focused on financial services and we've branched out in some other verticals like direct to consumer. There's one example, but the U.S. it's more of a broad based portfolio as I'm sure you can appreciate. So, the other difference in Hong Kong is the way that the data is consumed. It's by and large purchased on a portfolio basis, so meaning in batches as opposed to just one off online credit reports on transactions. We do have that type of business in Hong Kong but predominantly the business that we have in Hong Kong is a lot more predictable because of the batch for that we do. So when we look at how that market has performed, because of that mix of business and the predictability of it, we didn't see such a steep downturn initially from it. But then conversely on the way back, I've seen big uptick as well too. And I think it's just the really important thing is just remember how different these markets are and how, how credit can be used in that. Well, obviously in the U.S, we're in the midst of it and I hope we've given you some good color, the trends that we're seeing and then answering the previous questions we have talked about what we feel like the recoveries are going to look like in various end markets. So Chris, I'll hand it back to you.
Chris Cartwright: Yes, just two quick comments. I mean, I guess in summary, the difference in the product mix that we have or the weighting of the product mix in Hong Kong lends itself to stability. And you know that business has held up pretty well over the past year or 18 months. I mean, initially we had the protests and political instability, which caused some curtailment. And then we had the unfortunate fraud situation in our direct to consumer business, which took that offline and then of course the pandemic. All that said though, it's still a strong business and it's also just giving us insight as to how this pandemic and also the recovery may develop. Our employees have been going back to the office in Hong Kong, but in a measured and limited way and we've got the A teams and the B teams and we've extended the work day, we stagger some shifts. We only have one team in the office per day and we try to limit it to those that really need to be in the office. We've got a direct to consumer window that we have to manage. They're in Hong Kong. So, it's a little bit unique and frankly employees we're ready to get out and about and that's what I would expect is going to happen here in the U.S. We're just doing, we're just a few weeks or more behind that.
Operator: The next question comes from George Mihalos of Cowen. Please go ahead.
George Mihalos: I just wanted to delve in a little bit more on the international side. Just serious, if you have anything similar in terms of updated friends at a country level to what you sort of laid out in the financial services segment and maybe to the extent you can get that granular. If we look at the base case assumptions for cue international down kind of in the low 20s. Can you maybe help ballpark for us, what geographies you're expecting to do worse than that or trending worse than that and which ones are doing better? Thank you.
Todd Cello: George, I'll take that one. Thanks for the question. So, again I think I'd refer you back to the slide that we pulled together to depict kind of our sentiments on the international business and where we think things are now going to where the impact is now and where they will return. In particular, I think I answered this as well, too, when we look at more developed type of countries like the UK and in Canada, they have shelter in place that's similar to the U.S. So, the impact is relatively about the same as if what we're seeing. I think it's more the emerging geographies, as I alluded to previously in India, and Latin America, where the lockdowns are a little bit more severe on that we've seen more of an impact in the short term on that. So, the reason that, if you go to the base case, you'll also notice that we are providing an outlook for each of our segments so for the U.S. markets for international and Consumer Interactive. And we typically don't do that as you know, and the reason that we did that was to just simply give you a perspective as to how we are thinking, each of the businesses are going to perform. So, specific to your question on international when we talked about it's being down mid as low 20s in the second quarter, we're taking into consideration all the points that I just made and the trends from that we have articulated on that on the slide for each major geographies.
Operator: Next question comes from Andrew Nicholas of William Blair. Please go ahead.
Andrew Nicholas: Hi, good morning. Just sticking with international, quick question on that, I think you talked quite a bit about the different components of those businesses that add diversification outside of the core financial services business. Is it possible to ballpark what those kind of cyclical or maybe acyclical businesses represent, as a percentage of the total international business mix in the aggregate? Thanks.
Todd Cello: Yes. Hi, Andrew, if I understand your question, I think, you're looking for in the international portfolio where we would have countercyclical plays. I mean, is that right?
Andrew Nicholas: Yes. Just trying to get a sense for the size of maybe that portfolio diversification column on slide 12, or just kind of a ballpark of what might not be as heavily influenced by the economic trend.
Todd Cello: Yes. I guess it's a general, general statement overall is that, I think, when we've talked to in the past about us having businesses that were countercyclical, we weren't necessarily contemplating a global pandemic, when we made those comments. And so, if you think back to discussions that we've had in the past about how changing who would perform in a recessionary environment, we talked about businesses like insurance and healthcare in the U.S. would be countercyclical, and our geographic footprint internationally would help us. Kind of unfortunately, what we're experiencing right now is broad-based, even the countercyclical plays as we've already articulated are down, maybe they're not down as much. But nevertheless, they still are. Specific to your question on international, I would say that, predominantly on those businesses our Financial Services focus with some exceptions. So, right, we've done fairly good jobs diversifying the business in Canada is one of your ample outside of Financial Services is meaningful positions on an insurance and a public sector as well as in direct-to-consumer. I would say that, our business in South Africa is diversified in the UK as well too. But predominantly, those geographies are a heavy on Financial Services.
Operator: And the last question today will come from Bill Warmington, excuse me, Warmington of Wells Fargo. Please go ahead.
Bill Warmington: Thank you very much. I've been called worse. So, thank you for making me in here at the end.
Aaron Hoffman: No problem, Bill.
Bill Warmington: So, you've mentioned Consumer Interactive is trending down mid-single digits, how is that trending for direct versus indirect? I think both trending mid single digit or is one channel doing significantly better than the other?
Chris Cartwright: Yes. I'll start with this and without putting specific numbers on it, we're seeing the direct part of our business hold up pretty well. Consumers value the service and they are keenly focused on their financial management, right now, and that's encouraging and we're maintaining our marketing spend, our marketing returns are very acceptable, and we're going to continue to grow that segment of the business. On the indirect side, it's a little bit tougher sledding, if you will. Most of the revenue comes from lead aggregation business models. And because Financial Services right now is paused a little bit in terms of new client acquisition or the volume of activity is greatly diminished, our revenues from that segment have been more challenged than the direct side. But overall, the direct to consumer segment is performing quite nicely and we're encouraged by it.
Aaron Hoffman: Great, and that's going to bring us to the end of the call. We thank everyone for their time today and we want to just reiterate, we hope everyone is healthy and safe and continues to be. So let's have a very good day, all the best from TransUnion. Goodbye.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.